Operator: Good morning, and welcome to the Origin Agritech Limited Fiscal 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note today’s event is being recorded. I would now like to turn the conference over to Bill Zima. Mr. Zima, please go ahead.
Bill Zima: Thank you, operator. Hello everyone and thank you for joining us on today's call. Origin Agritech announced its full year 2016 financial results earlier today. Details about this announcement can be found on the Company's website. Today you'll hear from Origin's Chief Executive Officer, Dr. Bill Niebur; who will address Company Developments and Strategies, followed by the Company's Chief Financial Officer, Mr. Shashank Aurora, who will review fiscal 2016 financial results. Dr. Niebur will then conclude the Company’s remarks by providing commentary on his 2017 business outlook, which will be followed by a question-and-answer session. Before we begin, I would like to remind you of our Safe Harbor statement. Our conference call may include forward-looking statements made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Although we believe that the expectations reflected in our forward-looking statements are reasonable as of today, those statements are subject to risks and uncertainties that could cause the actual results to differ dramatically from those projected. There could be no assurance that those expectations will prove to be correct. Information of the risks associated with investment in Origin Agritech is included in our filings with the Securities and Exchange Commission, which we encourage you to review before making any investment decisions. The Company does not assume any obligation to update any forward-looking statements as a result of new information, future events, changes in market conditions, or otherwise, except as required by law. With that said, at this point I'd like to turn the call over to Dr. Bill Niebur, CEO of Origin Agritech. Bill, please go ahead.
Bill Niebur: Thank you, Bill, and good morning everyone and thank you for joining us today. We are in a busy period for Origin, just having completed our non-deal roadshow, communicating an exciting update on our biotechnology trait pipeline, and finally gaining access to world-class genetics for our North American business. We look forward to a very productive 2017 for our research and development programs, our new business models and our global collaborations. Let me start up by saying that I am very confident in our new vision for Origin and believe the direction is the right one to take as we pivot the Company towards an exciting future. The feedback that we have received from investors and institutions has been positive, reinforcing the need for clarity of focus on our three strategic pillars that define our vision, and the delivery of concrete results against our timelines and milestones for each pillar. It is our intent to become the preferred agricultural technology partner for and from China for both domestic and international players. Now let me provide some detail on Origin’s new strategic vision. With full agreement from the Executive Chairman, Dr. Gengchen Han and the Board of Directors, we are transitioning from a traditional Chinese seed company to a global agricultural technology provider. This is a bold step in a new direction at a critical moment for our Company and the industry. We have created a new executive team that will leverage over 100 years of agricultural experience and broad industry relationships to execute our new global strategy. As mentioned before, this global strategy and vision is comprised of three strategic pillars. The first pillar will create, develop, and commercialize biotech traits in China and the world. We will also broadly license our superior commercial corn seed products to industry players becoming the first foundation seed company for corn hybrids in China. Over the past year, the Chinese government has issued several positive communication announcements on the development of biotechnology. Let's begin with the document number one in early part of the year issued by China's Ministry of Agriculture that called for greater investment in biotechnology, also the commitment of over $450 billion to modernize and improve agriculture till the end of this decade; and finally the recent Chinese 13th Five-Year Plan calling for commercialization of biotech in corn and soybeans between now and 2020. China's agricultural corn seed market is projected to be valued at over $3.5 billion with the addition of these new biotechnology traits, of which Origin plans to take a major role. Now let me share some highlights from Origin's Pillar 1 for this past year. So in the second quarter of 2016, we announced a strategic partnership with DuPont to create and commercialize corn biotechnology products in China aligned with government approvals. By integrating our advanced biotech traits into industry leading corn products, we ensure that farmers will have a superior and legal mechanism in place to fully utilize these new biotechnologies. Secondly, the submission of comprehensive data packages for our leading traits, traits conditioning insect resistance and herbicide tolerance to the Chinese officials in the MOA for Phase 5 Safety Certificate approvals. This represents a leading position for Origin in the process to commercialize biotechnology in China corn at the earliest possible date for farmers. Our lead trait is currently being incorporated into corn products ours and others that represent approximately 15% to 17% market share in China today. We're currently in discussions with new partners in China where we estimate that we would increase that share to around 20% to 25% in the next two years to three years. And finally, for the first time in 2017, Origin will commercialize new elite corn products from the newly created Green Pass registration process, an industry and company first. This new predictable product registration and release system is a crucial part of our evolution to becoming a reliable provider for foundation corn hybrids and inbreds to our industry partners. Now let’s transition to the second pillar that we have established. This will achieve global deregulation of biotechnology traits developed by Origin in China. These approvals will enable the movement of Origin’s world-class biotech traits developed in China and the corn grain containing these traits to other major markets around the world including the U.S. This opens a much larger potential market opportunity for Origin traits. Let me talk about a few of the pillar two highlights. This fall we achieved the first ever export of a Chinese biotechnology trait for insect resistance and herbicide tolerance to North America to initiate this global regulatory process. Permits were granted from both the Chinese and U.S. government agencies to enable this seed movement. This historic achievement opens a way for global approval and regulatory compliance. The Chinese government approvals to export seed delivers a strong message on its commitment to agricultural biotechnology we believe. The seeds are currently being grown in USDA designated greenhouse and will enter collaborative field experiments in the summer of 2017 to conduct tests required by the USDA, the EPA and the FDA. We are aligning this work with China approvals estimated for the end of this decade. Our third and final pillar. We'll position Origin as a preferred partner using a novel e-commerce based approach to serve the non-GM and organic markets in North America. We will offer superior products, services and technologies that effectively connect end users back through the value chain to producers of superior non-GM organic grain, notably farmers. We will capitalize on a current $1.2 billion market opportunity that is projected to double in the next 10 years. We have set a goal to reach profitability in this business in a three-year timeframe, and then to grow market share beyond that with our seed, e-commerce and end use partners. Let me go over just a couple of really very exciting recent highlights for Pillar 3 with you this morning. We have signed a definitive agreement with DuPont, which we announced earlier today to gain access to their non-GM corn seed products for the U.S. We are targeting sales of these products in early 2017. Active discussions to secure agreements with several multinational and regional seed companies, in addition to DuPont to access additional non-GM organic corn and soybean products are underway. Now allow me to provide context for Shashank Aurora’s discussion on Origin’s financial performance this morning. During the fourth quarter, we announced a significant business realignment. We currently have a pending sale of the commercial seed business in China for $60 million. We plan to use these proceeds to pay down a portion of the debt and support growth in three strategic pillars outlined previously. Additionally, this pivot in business strategy from a low margin business to customer approach to a higher margin highly differentiated business to business model, positions Origin to play to its technical strengths and extensive relationship networks. In this transaction we have sold the commercial entity, while holding onto the germplasm intellectual property, holding onto the biotechnology and breeding resources along with the Green Pass product registration certification. We will license Origin's current and future commercial corn products to the new owners of this business and other seed companies using their royalty based fee arrangement. Origin is breaking new ground in China with this business approach as it prepares for a future with biotechnology in these same products. And finally we have an active government and media relations effort underway to ensure that we have effective connections to the U.S. Embassy in China, as well as the China Consulate in Washington D.C. We are very pleased with the recent nomination of Iowa Governor, Terry Branstad as the new U.S. Ambassador to China. Governor Branstad is very familiar with Origin and spent several hours with us on his last visit to China in late November. Having provided this business overview and backdrop, I’d now like to turn our call over to Origin’s CFO, Shashank Aurora, who will review the Company's fiscal 2016 financial results.
Shashank Aurora: Thank you, Bill, and hello everyone. Allow me to walk you through key financial results to provide you highlights on our full year fiscal 2016 performance. The complete details can be found in our latest 6-K filed with the SEC. Highlights of 2016 include improved operating efficiency and continued cost reduction efforts excluding restructuring costs, start-up expenses related to the establishment of our North America office and one-time stock compensation expenses. We experienced steady operating cash flow in fiscal 2016 due to a improved inventory management. Total net revenue for the fiscal 2016 decreased by 11% to RMB335.3 million from RMB376.6 million in fiscal 2015. The decrease was primarily due to lower volumes for corn and rice seeds as a result of market oversupply, increasing competition and a reduction of acres in the high single-digits as measured in percentage terms. We have flat market share under this difficult circumstances. Total revenues from corn seeds for fiscal 2016 were RMB306.4 million or 91% of overall sales compared with RMB331.3 million in fiscal 2015. Revenues from rice and canola product lines for fiscal 2016 totaled RMB28.4 million compared to RMB44.9 million in fiscal 2015. We plan to phase out rice and canola product lines in 2017. Net revenue from the biotech and product development segment for the year ended September 30, 2016 increased to RMB0.5 million compared to RMB0.3 million in fiscal 2015. The revenue from the segment represents conversion and testing fees from our international partners. Total Operating expenses for the fiscal 2016 were RMB137.3 million up 23.5% from RMB111.2 million in fiscal 2015. The increase was primarily due to restructuring costs, start-up expenses related to the expansion of operations in North America and a one-time stock compensation expense. Excluding these items, total operating expenses increased marginally by 2% to RMB113.2 million. Operating loss for fiscal 2016 was RMB61.3 million, compared to operating income of RMB1.3 million in fiscal 2015. Net loss attributable to the Company for fiscal 2016 was RMB65.6 million or negative RMB2.87 per diluted share, compared to net loss of RMB13.8 million or negative RMB0.61 per diluted share in fiscal 2015. Moving over to the balance sheet. As of September 30, 2016, the Company had cash and cash equivalents of RMB54.5 million compared to RMB66.6 million as of 30 September 2015. Total borrowings of fiscal 2016 were RMB237.1 million, a reduction of RMB48 million over 2015. Inventory decreased by RMB71.5 million as of 30 September 2016 compared to the same period in 2015 mainly due to improved supply demand forecast efforts by the management. During fiscal 2016, net cash provided by operating activities was RMB47.9 million compared to RMB52.2 million for fiscal 2015. Net cash used in investing activities was RMB6.5 million for the fiscal 2016, compared with RMB20.4 million for fiscal 2015. Net cash used in financing activities was RMB48.8 million for fiscal 2016, compared with RMB9.5 million for fiscal year 2015. This concludes my prepared financial remarks. I would now like to turn the call back to Dr. Bill Niebur for final comments.
Bill Niebur: Thank you, Shashank. To wrap up our commentary for this call, I would like to share some thoughts on the business outlook for 2017 and beyond. We remain very confident about our opportunities heading into fiscal 2017 and want to share with you our perspectives on how to measure the progress associated with the business as we go forward. We largely view fiscal 2017 as our pivot year where we continue to establish and enhance our biotech trait development. Our breeding technical competencies along with the establishment in the North American business. As we've said on our non-deal roadshow and in prior calls, our progress should be measured in the form of announcements related to the following. Firstly, progress updates on the existing relationships that we have such as those with DuPont and the Chinese Academy of Agricultural Sciences. Secondly, securing additional licensing partners for our traits and corn products for China, as well as new sources of products for our non-GM/Organic platform in North America. Thirdly, signing new technical collaborations and agreements with major multinational trait developers and vendors. Fourth, achieving and receiving critical regulatory approvals in and outside of China, as we move towards biotech commercialization and global expansion. And finally number five, strategic new hires, new talent in the areas of R&D business development and fully establishing our North American business operations. Through progress made in these areas in 2017, we would expect these initiatives to positively impact our revenue beginning in fiscal 2018 with further acceleration in the years beyond. As I and the team look at our longer term China market opportunity. Our ultimate goal is to capture in the 20% to 25% market share range presence in penetration for the higher margin trait licensing and foundation corn seed product business. This compares to roughly 3% market share that we have in China today with our current commercial seed business. As you can imagine our target market opportunity represents a much stronger future position for Origin with much higher revenue and profit potential compared to the commercial seed business that we're operating today. Allow me to say once more and reiterate we collectively are committed to becoming the preferred agricultural technology partner for and from China. We are pleased with our progress made in the first 8 months since I've been at the helm and I believe there are great things ahead for China, global agriculture and our business. This concludes our comments for this call. Operator, we are now ready to take questions from the audience.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Today’s first question comes from Gerry Sweeney of ROTH Capital. Please go ahead.
Gerry Sweeney: Hi, Bill and Shashank. Good morning and thanks for taking my call this morning.
Bill Niebur: Great, Gerry. Thank you for calling in and thanks for your question.
Gerry Sweeney: Yes, a lot of movement in 2016 in terms of maybe shuffling the decks in terms of acquisition Syngenta, ChemChina, Monsanto-Bayer things like that. How does this affect your strategy or pillars as you move forward over the next year to provide some opportunity [indiscernible] some potential foothold et cetera.
Bill Niebur: Gerry thanks. That's a great, great question for us to kick off with, this morning because it's on everyone's mind as we go into 2017. Specifically upon my retirement from DuPont and joining Origin, it was evident that the industry was going to consolidate and it was going to change and it was going to change globally. And that opportunities would be created through the consolidation of the majors, and as they move forward and that the China corn market would continue to be large it would continue to be attractive and it would continue to modernize and professionalize under the leadership of the Chinese government and specifically the MOA. We see this consolidation as a perfect time to reorient and pivot Origin's presence and business direction to be able to more effectively partner with these mega companies that are going to emerge throughout this – through these changes. Our position in China as a Chinese company with leading biotechnology and a strong germplasm collection positions us in a way that we can partner with a new Syngenta. We can partner with the consolidated Dow DuPont or we could partner more effectively with a Bayer-Monsanto should those groupings come to pass. We’ve intensified our efforts to build strength in our biotech program, build strength in our breeding program and equally importantly build strength in our relationships with the administrative leaders of the market in China such as the MOA, the Seed Bureau and Ministry of Commerce. We have existing strong relationships with the academic institutions that are providing us with their biotechnology traits such as the Chinese Academy of Agricultural Sciences as well as the Chinese Agricultural University. So Gerry, where we are as we see a world with a fewer number of larger players needing things that we're creating and so our Pillar 1 is perfectly aligned with what we feel they will require to execute on their strategies that will evolve and emerge. So we feel very, very good about that we feel that moving to a research focused foundation seed company enables us to drive greater genetic gain in our corn product development program and to position – reposition our seed business with a great partner who can fully exploit the opportunity that the seed business represents in China enabling us to stay on our Pillar 1, Pillar 2 and Pillar 3.
Shashank Aurora: Gerry, if I would just add. Good morning, Gerry, how are you doing today?
Gerry Sweeney: I was doing well. Thanks, Shashank.
Shashank Aurora: To just a supplement what Bill said, as you rightly mentioned these companies are becoming bigger and as they're becoming bigger this talent being made available in the market which Origin is very actively looking at to hire as we move forward. Also on Pillar 3 as the mega corps are more focused on mergers and higher margin business. It provides a great opportunity for Origin to focus on the non-GM business in North America. So I think it is quite positive what is going on both for the large companies as they're becoming bigger and for Origin going forward here.
Gerry Sweeney: And then maybe just a quick follow-up question on Pillar 3. When does – when do you really start to execute on Pillar 3? Is that – are you moving in that direction now? I know I think you just mentioned that you brought one of the first seed traits back to the U.S., but when do you start executing on the e-commerce side? Is that a little further outward that concurrently with everything else?
Bill Niebur: Okay. Yes, Gerry. So Pillar 2 is really the – that was our strategy to bring biotech outside of China – out from China in a way that it never really been achieved before. Pillar 3 is as Shashank said and you've just said is our focus on building a novel e-commerce model that connects growers and end users in the non-GM organic space. The announcement this morning with DuPont is our first announcement in this pillar in terms of securing product. We're equally focused on securing partners in the e-commerce space as well as the end user space to build the system, if you will, the chain that has been challenging for non-GM and organic growers as well as grain buyers as well as protein producers. We see this first step today as a crucial first step. We will focus on gaining additional relationships for the provision of product, the e-commerce platform development, and finally the end user contractual relationships over the course of the first quarter of fiscal 2017, the second quarter of fiscal 2017 and throughout 2017. This is really our launch year to drive that. We are intent and committed and have a strong goal in place to achieve our first sales in FY 2017 and then to expand those sales and grow that business aggressively in 2018 and 2019.
Gerry Sweeney: Got you. Then if you would just one more I think higher level sort of question. Obviously Governor Branstad is going to have a position in the new administration. It's going to probably be a unique administration, a better phrase but and you had some meetings with him. Any insight as to maybe some opportunities that are going to come out of different policy enhancement changes or is that too early to sort of speculate on?
Bill Niebur: Gerry, you know very early days we couldn't be more excited about the nominee and due to the fact that he's a good friend and he's taken a lot of time to understand our business and our attempts to expand Origin in a multinational framework using Des Moines, Iowa as a base for our North American operations. He spent several hours with our Chairman and our leadership team in Beijing in late November. He is very committed to ensuring agricultural relations are maintained even with maybe a more aggressive trade relationship evolving and emerging. And so we feel that Governor Branstad and hopefully Ambassador Branstad will continue to keep agriculture on the forefront, technology exchanges on the forefront. And we think our Pillar 2 Gerry has some very interesting possibilities in terms of shaping the U.S. China relations on agriculture and trade via the fact that the Chinese biotechnology trait that's been exported here to North America and in greenhouse has a chance to open dialogue and conversations and to trade perspectives that we haven't been able to achieve in the past. And so we feel that there are some, let's say unintended consequences in collateral benefits that can come from this opening if you will almost aligned with the one belt, one road mentality to bring technology to bring agriculture from China to the rest of the world. And Origin would like to be a significant player in that evolution.
Gerry Sweeney: Okay, Bill. I really appreciate it. And thanks for your time and congratulations. Thank you for knocking the items down and head in the right direction.
Bill Niebur: Thanks, Gerry. We recognized coming out of our non-deal roadshow in New York and Boston and Chicago earlier this year that we needed to lay out where we wanted this company to go and then we needed to do deliver results.
Gerry Sweeney: Talk to you soon. Thank you.
Bill Niebur: Thank you.
Shashank Aurora: Thanks, Gerry.
Operator: And ladies and gentlemen our next question comes from John Roberts of UBS. Please do ahead.
John Roberts: Good morning guys. Congratulations on your new agreement.
Bill Niebur: Good morning, John. Thank you very much.
John Roberts: What are the restrictions on your use of the non-GM germplasm from DuPont Pioneer? Can you create new foundation seed by crossing with your Chinese germplasm that you have access to?
Bill Niebur: Thanks for the question, John. We made that release, an announcement this morning. As you may have read in that announcement or if you haven't seen it yet, that a lot of the details are not being disclosed. What we have – what we're able to say this morning about the relationship is what's in the announcement and that is that we obtained access to elite DuPont products for the U.S. that in a non-GM form that we will have available for sale in 2017. So what we will be doing is that as we go forward we will be making future announcements and future progress updates on this. But as of this morning that's sort of where we are and what we're allowed to comment on.
John Roberts: Okay. Thank you.
Bill Niebur: Thanks, John.
Operator: [Operator Instructions] Our next question today comes from Peter Butler of Glen Hill Investments. Please go ahead.
Peter Butler: Good morning. Good morning.
Bill Niebur: Good morning, Peter.
Peter Butler: Hi. How serious are the providers of Agchem products in China about cutting possibly cutting production and bringing the market into a better supply demand balance? And will this take another two, three years? How do you see the market growing and the high inventories being reduced back to normal?
Bill Niebur: Well, you know that is in fact what's made the market so challenging for seed companies, and ag input suppliers over the past two to three years. My personal experience in China, Peter has been in – from 2010 to 2013 we were on a massive ramp up and we were professionalizing, and then modernizing agriculture, we were bringing forth new products. What I see is that this Green Pass registration process is a critical part of China being able to more rapidly introduce newer, higher yielding, better products to the market. Those better products will be in demand. Chinese farmers have a great appetite for genetic gain and for new products and new technologies. They are equally ready to pay for that new technology. This dealing with the inventory really is first and foremost dealt with by the adoption – the introduction and the adoption of new products that have been registered through the Green Pass system. Our desire with this new foundation seed company concept in China is to do something similar to what Holden’s did in North America, when it made great genetics available. And Holden’s and Illinois Foundation Seed and Thurston's and others, they made great products available and they made them available at a commercially attractive rate so that companies could build their businesses based on great genetics. And we see that as we look at the inventory problem, we look at the problem that exists in some counterfeiting situations in China. We see that this foundation seed approach is a great way to align with the MOA in its efforts to modernize agriculture and to bring forth better genetics. Thus dealing with the element that I described as well as the inventory build up and moving us to a greater level of self-sufficiency and productivity in China in corn. And as a result we will see changes in the market dynamics, the market size, the market scope, the use of grain for food, feed, as well as fuel in China. So what I project and predict is that over the next five years, the China market situation for corn, rice, wheat, forages, silage will change dramatically. And so I think that inventory is one point, but I think that the market dynamics are going to change dramatically, and I think that we are in for a very, very positive future five years as we wrap up this decade.
Peter Butler: Okay. What role does the Chinese government see you guys assuming? Do they regard Origin as a candidate to be a strong independent competitor or do they see you just as a participant in the consolidation and that you would be part of a bigger company one of these days?
Bill Niebur: Great question. I’ll make a couple of comments and Shashank I’ll allow you to offer your thoughts as well. Peter on this China – we feel that in China we are considered to be a local player, we are considered to be a Chinese company. The Chairman, Dr. Gengchen Han is one of the most respected individuals in the seed industry based on his courage, his entrepreneurship and his belief in the potential for China agriculture. So it's my belief that the MOA, the party, the think tank such as the DRC, desire that Origin continue to be a thought leader in modernizing agriculture in China through its internal efforts and innovations and entrepreneurship, as well as through its ability to carve out deals and to achieve collaborations with the majors in the market. It's no small fact that achieving an agreement today with a major in the midst of all the changes that are going on is a pretty significant achievement. It says a lot about those companies who choose to make agreements at this time and their commitment to global agriculture, their commitment to China agriculture, and their commitment to seeing all parties in this seed industry prosper. This consolidation movement and these collaborations create opportunities for the large, the small and the intermediate. And you just have to be flexible in both thought, and investment, and approach to realize this opportunity. So we feel that our position in China today is very secure in the sensitive we’re creating value, and as long as you’re creating value from my experience in China over the past 30 years. You’re all welcome participant. But you need to create that value in a way that it benefits those who need it most and those would be the real inhabitants. That are attempting to move from their current economic situation to a better economic situation as we finish this decade. So a few comments there, Shashank go ahead some thoughts you might have on this.
Shashank Aurora: Good, I think that’s a great question. As all of us have seen that China is one of the most important, our big focus going forward is agriculture and they are investing billions of dollars in agriculture. Origin is one of the few seed companies today, which have access to traits develop like asset. And to the best of our knowledge and belief, it is the only seed company, which has been given the permission to take seeds out of China to U.S. for global deregulation. Having said that, I would probably think that we do have a differentiated status I will not say preferred status, but definitely a differentiated status when compared to other state companies in China and all these things really are positive for Origin’s future.
Peter Butler: Slightly different subject, why can’t you folks ring the cash register with a dealer to outside of China where you could take the proceeds and invested in Origin stock price that this depress price, I mean, the ROI investment in your stock right now would look pretty damn good if your plans come to provision. And it’s you’re looks like a good ROI, how do you see it.
Bill Niebur: Well, Peter, I appreciate what you’re saying and what we’ve – when we joined the company here in 2016, we took the last eight months to really fully assess what is in – what is resident in Origin and going through that inventory of skills, technologies, competencies, talent. We determine how we could align that inventory with what we saw as the greatest opportunities in our sweet spot that is biotechnology, breeding, development of new hybrids, and then innovation, entrepreneurship and creativity. We needed to bring Origin from a company that was known as a Chinese seed company to a company that was known as a agricultural technology provider that would work beyond the Chinese borders as well as within the Chinese border. So our first steps that we undertook in joining this company and building the talent team was to reposition, pivot this company towards a different direction. We have secured two major agreements, we are in the process of securing additional agreements to position this company in a way that we can really drive the revenue potential that licensing our corn products represents. That licensing our trait products represent – our traits represent in a bit longer timeframe depending upon commercial approvals by China and other agencies and moving it forward. So we are extremely focused on moving this company from where it’s been over the last five years in terms of profitability to a very different place as we go forward that one being more profitable and one being longer-term sustainable. And in a much, much better position to partner with the emerging giants that will demand professionalism, demand, talent and demand results from their strategic partners be it for China or for parts of the world outside of China. So we’re just on the verge of that, we’d like to do what you suggested, we’re actively looking and aggressively moving this company to a very different place.
Shashank Aurora: Peter, just a supplement what Bill was saying the way the company has focused today we’re looking at more strategically versus a quick gain. As you can see that we are moving our business model from B2C to B2B. So as we do that we are moving from a low margin to a high margin business. The revenues and profitability of Origin, if you’ve been – and you’ve been tracking Origin for sometime have been declining. But as we transition and execute our strategy. Our margins going forward are going to be a lot healthier than what they have been in the past. And the asset sale that Bill highlighted in a stock would definitely fund us for growth both in China and outside to some extent. And as and when we would need cash in North America, we would go to the market to help us fund our strategy. So a lot of changes more strategic versus a quick gain B2B versus B2C and a higher margin business going forward.
Peter Butler: Well just you scratch your head looking in from the outside I was wondering would Syngenta sniffing around. Why wouldn’t they want to acquire Origin to if you guys had a several year lead on many of your competitors in China? Why wouldn’t Syngenta want to take advantage of that with an acquisition and move up in the line.
Bill Niebur: We can’t really speak for Syngenta here this morning or speculate on what they might or might not do. But what we can say is that we’re moving this company to a very different competency level and a very different level of attractiveness as in terms of whether it would be like to partner with us in terms of transparency, in terms of responsiveness and in terms of capability. The scenario that you suggest or layout I’m sure it’s a possible one, who knows we think that there are evolving patterns in the China situation and evolution today, where a large Chinese company could find us as a very, very attractive collaborator. And so we wouldn’t rule anything out Peter, you’ve been in this and you’ve watch this industry for a long time your insights are always very deep and very helpful. And I think you’ve again this morning brought up the scenario between now and the end of the decade that could very easily play out.
Peter Butler: Well, it sure nice to hear you here into the future. I think investors should celebrate your eight months arrival and hopefully we’ll be smiling into the future.
Bill Niebur: But thank you Peter and we’ve got a lot of work to do and we feel very, very strongly that the Origin team is up to the task.
Peter Butler: Thanks for your help.
Bill Niebur: Thank you, Peter.
Shashank Aurora: Thanks, Peter.
Operator: And today’s next question comes from Howard Yeager of Newbridge. Please go ahead. Mr. Geiger your line is open sir.
Howard Yeager: Yes, I have two questions. So would you want me to give each one and have the answer both of them, would that be okay?
Bill Niebur: That’s sure, Howard, whatever you prefer, thank you.
Howard Yeager: Okay. Let me ask you this, being an industry that already three years. How would you rate your germplasm portfolio and your bio traits portfolio overall. And if you can, how does that stack up against the big six ag companies out there right now.
Bill Niebur: Okay.
Howard Yeager: That’s my first question. And the second one would be why you able to close partnerships right now with companies like DuPont, during like such a hectic M&A time in the industry and do you expect to sign more partnerships in the future in 2017.
Bill Niebur: Okay, great. Well, Howard thanks for your questions and thanks for being on the call this morning. It has been a great career spanning 33 years thus far and hopefully another 33. This industry has changed dramatically and it’s evolved and I think that what one learns via the decades of participation is that evolution is inevitable. And that structures and systems change. What your first question really asked, how good is our germplasm. I have had the opportunity to work in China living in Beijing from 2010 to 2015 and during that timeframe as a researcher originally and then in transition over into operations role. I had a keen interest and a keen curiosity in the quality of germplasm that exists in China and the availability of that germplasm and how to best position it, putting the right product into the right farm and really achieving the best possible outcome for the rural and habitant there farmer. The germplasm that Origin has today is rich and diverse it has been very much focused on the future needs for mechanisation both in terms of planting, agricultural economic practices, as well as harvest. Harvest being mostly standability, dry down, rain quality, rain storage, considerations. As I reviewed the germplasm and looked at the products over the past summer and past fall and data. What I found was a very different group of products than what we were commercially selling today coming through the pipeline. And these new product launches that we released in our with non-deal roadshow deck of five new products and four products moving through the pipeline and 18 new products being added to the pipeline are really well positioned for the most important needs in the market. We are in the process right now of doing in molecular characterization of that entire germplasm pool. So that we can more effectively use modern breeding practices and techniques, as well as combined that germplasm with the germplasm from other collaborators in China and potentially outside of China. And so we feel very good about that the germplasm base. We have more to learn. We have more to do, but it feels to me that it is leading germplasm collection in China today, north to south. On the biotech trait side, we think that there are really three or four traits at our well positioned to be commercialized by the end of this decade an alignment with the stated plan in the 13th five year plan. We feel that we’re in a great position to be a part of that group of three if you will, because we believe that in China its best if multiple traits would be commercialized at the same moment. And that we would bring insect resistance in corn to China along with others and that we would occupy a significant portion of the market share and that we would be in partnership with our strong collaborators in the best germplasm backgrounds possible. But not be the only trait, but to be one of a few traits that we’re being commercialized at the same time as China transitioned into a world where corn was cultivated with biotech legally. So we feel that as we compare to the big six we don’t have their resources, we don’t have their global scale or their scope. But we do have a really strong position in China from a standpoint of experience, relationships and credibility and legitimacy. And so we feel we need to take advantage of that and we feel that we can do things in collaboration with the mega corporations that are emerging or those that exist today as we go forward. In making deals I think what we’ve structured this company to have a strong Chinese face in our Chairman and in our CTO and a strong international face in our CEO and CFO. And what we wanted to be is we want to be flexible, adaptive, innovative, creative and we want to do deals, we need to do deals. And if nothing else we’re pretty persistent. We don’t give up easily. We recognized that things take time and that it requires that we accept this or that and get this or that and get the deals done. So I think that we have a new energy in Origin that it allows us to work in opportunities we have an agility and we have both a respect for the past but a hope for the future. And so we’ve been able to do somethings here in carving out these relationships in these deals by bringing a strong sense of ethic, strong sense of authenticity and legitimacy to a great Chinese company that desires to become multinational. So we’re going to continue to drive on several deals in FY 2017 it is our life line, it is our – it’s in our DNA, it’s what we do, and it’s how we will prevail and prosper.
Shashank Aurora: Howard, just a supplement what Bill said, as we know that the acres in China a very comparable to North America. And currently no multinational has any traits under trials. It’s only the Chinese traits which are on the trial over there. So Origin definitely has a first mover advantage. Just to add to that companies like DuPont Pioneer, which is one of the big six if not the big three going forward. They have come to Origin and as you know that in April we sign an agreement for trait integration where our traits are being integrated to their germplasm. And Pioneer has one of the largest market shares in China today. So we definitely have an advantage over multinationals at least in China in the early part of our implementation.
Howard Yeager: Thank you, guys very much. Good luck.
Shashank Aurora: You’re welcome.
Bill Niebur: Thank you. Have a great 2017.
Operator: And ladies and gentlemen, we have time for one last question. Our final question is from Adam Miller, Private Investor. Please go ahead.
Adam Miller: Good morning. Congrats on bringing DuPont that much closer.
Bill Niebur: Thank you, Adam.
Adam Miller: Thank you. How would you describe the infrastructure to sell non-GMO organic seed today versus how you see them being sold with your Pillar III e-commerce platform and do you see that as like selling book that a retail store versus Amazon.
Bill Niebur: Adam, thank you very much for that question and we are extraordinarily excited about what we’re doing in Pillar III. For 95 years seed has been sold in a pretty consistent fashion and effectively. And it has been done by organizations and individuals who are outstanding at building those relationships and providing that product in a way that farmers have very much prospered and have done phenomenal to Asian productivity. We think about how few farmers today there are in the world and how many people they feed. It’s just a – it’s just staggering and it’s a bit humbling to think about that. This model that we’re talking about today is we’re totally focused on non-GM organic space. We’re totally focused on providing the best genetics to the best farmers to achieve the best outcome. This is very much focused on mathematics. It’s very much focused on ROI. We are intent on connecting great genetics with great farmers through a very efficient system that connects with a end use demand, a chicken producer, a milk producer, a pork producer, a beef producer, who has a strong need for great product, great quantity, great quality for their operations to generate protein or milk or eggs in a using non-GM grain. So yes, the model that we imagine is much more Amazon like than Big Box or warehouse. It is about the opportunity to partner with great farmers, great e-commerce, platform players, as well as things will develop on our own along with great end users to repair some of the challenges and difficulties that sit in the gap today. Many companies sell non-GM corn today and they do it very well. That’s why it was our belief that if we’re to enter into this space similar to the way Dr. Han entered into China back in 1997 and 1998 and he did something different. And with that spirit we’re interested in entering into this space and doing something novel, unique and different. And that’s why we feel that, we have the audacity to think we can pull this off. But Adam, the humility to know that we’re small and we need great partners, and that it’s going to take a lot of effort to make this happen but we’re committed to it.
Adam Miller: Awesome, can we look at Pillar III as an Amazon for the seed industry and it’s a safe to assume you maybe able to get non-dilutive funding for the subsidiary.
Shashank Aurora: So we are at the nascent stage right now Adam, but our hope would be that once we have the whole platform developed and once we start executing on that platform it is possible in a year or two years time, we should be in a position to raise some cash based on just Pillar III in North America. It is quite possible. But as you know, even when Amazon started it took them a few years before they could establish their credibility in the e-commerce space before they could really go and raise cash. So it is definitely one of our long-term objectives, how quickly we can do it, is a little difficult to estimate at this point in time Adam. But the good thing is, as you know the non-GM and organic space is growing and the millenniums who are there today are much more focused on buying non-GM on organic grain. And there is a premier for that grain. And if our model is successful connecting the end user with the growers, which is what our aspiration is, you are absolutely right, we could go to the market just on that e-commerce model and raise cash. So we think that proof in the pudding here will be with through the agreements that we can reach with product providers and end users to validate this system. It is different, but Amazon was different, Uber was different, Airbnb was different. We feel that we need to take a novel approach in this space, find a very efficient way to bring this opportunity to growers in a very personalized form. So really appreciate the question here this morning Adam and we’re very committed to Pillar III and feel it has a great potential for our business.
Adam Miller: Excellent. I think this is the Uber of the seed industry, so you guys are doing a great job, have a great year.
Shashank Aurora: Thank you, Adam. You have a nice one too.
Operator: There are no further questions at this point. I’d like to turn the call back over to management for any closing remarks.
Bill Niebur: Let me thank everyone for your participation this morning and more importantly your ongoing support of Origin Agritech. We look forward to providing you all with additional updates in the weeks and the months ahead. Have a great day and have a prosperous 2017. Thank you very much.
Shashank Aurora: Thank you, gentlemen.
Operator: And thank you gentlemen. The conference has now concluded. And we thank you all for attending today’s presentation. You may now disconnect your lines and have a wonderful day.